Javier Crespo: Good afternoon, everyone, and thank you for joining us in the 2025 First Half Results Call of ACS Group. This is Javier Crespo, Head of Investor Relations. As usual, the call will be led by our CEO, Juan Santamaría, who is joined here by our Corporate General Manager; Ángel García Altozano; our CFO, Emilio Grande, and the rest of the management team. After the presentation, we will host the usual Q&A session and look forward to hearing your questions. Juan, the floor is yours.
Juan Santamaria Cases: Thank you, Javier. Good afternoon, all, and thank you for being with us today. The group has performed strongly in the first half of the year with solid growth in sales, backlog and net profit, backed by strong cash flow generation. Moreover, we're making solid progress in executing our strategy, increasingly leveraging our global footprint and engineering expertise to drive sustainable growth. We're actively capturing high potential equity investment opportunities across both traditional and next-generation markets, consistently creating long-term value for all our stakeholders. Let me give you an overview of a few key highlights for the period. Ordinary net profit of EUR 392 million shows an increase of 17% or 19.4% FX adjusted. On a reported basis, net profit stood at EUR 450 million. Sales and EBITDA were up by 28.6% and 23.9%, respectively, driven by robust momentum across segments. Operating margins evolved positively across the board. Net operating cash flow adjusted for factoring variations reached EUR 1.8 billion in the last 12 months. This is up EUR 265 million year-on-year and represents a CAGR of 45.8% for the past 4 years. As a result of this strong cash flow generation, the group's net debt position as of the end of June was EUR 2.2 billion. This is after allocating EUR 1.1 billion to strategic investments and shareholder remuneration in the first half. The strategic investments include a EUR 436 million acquisition of Dornan and EUR 476 million in net equity investments and other M&A, mostly including the investment of EUR 315 million in data center projects. Meanwhile, shareholder remuneration amounted to EUR 148 million. New orders during the first half reached EUR 31.7 billion, up 18.1% FX adjusted, translating into a healthy book- to-bill ratio of 1.2x. The order backlog grew by 12% FX adjusted, reaching EUR 89.3 billion, equivalent to approximately 2 years of work, supported by sustained demand in data centers, biopharma and defense. Looking ahead, we remain highly confident in the group's outlook and reiterate our ordinary net profit growth target of up to 17% for 2025, underpinned by strong fundamentals. Let's take a closer look at the group's consolidated performance for the period. Sales rose by 28.6%, reaching EUR 24.1 billion, driven by the exceptional performance of Turner, which achieved 34.1% organic growth, 36.7% FX adjusted, and particularly driven by digital infrastructure and biopharma projects. This momentum was further supported by the integration of Dornan and the full consolidation of Thiess since Q2 2024. EBITDA increased by 23.9% to EUR 1.4 billion, with margin expansion across all segments, stable on an overall basis due to businesses mix effects. Profit before tax amounted to EUR 708 million, up 25.4% and was particularly fueled by Turner's outperformance and the solid contribution from Dragados. We delivered strong net profit growth of 17% year-on-year on a comparable basis to EUR 392 million, in line with the top end of our full year guidance for NPAT growth. Turning now to the ordinary net profit split. I would like to underline the following. Turner delivered an outstanding performance with its contribution rising 64% to EUR 227 million, driven by strong growth in high-tech markets and biopharma. CIMIC delivered EUR 101 million, supported by strong growth in data centers and impacted by FX effects. Engineering & Construction shows a very strong result, growing at 21.4% year-on-year, reflecting a higher contribution of FlatironDragados and solid results in HOCHTIEF Europe. Infrastructure had a resilient operational performance in the period despite nonoperational impacts at Abertis and ramp-up effects at Iridium. During the period, the group implemented efficiency measures that involve EUR 16 million in restructuring costs aimed at streamlining operations and unlocking synergies that will enhance performance in the coming years. Slide 5 highlights the group's strong and consistent cash flow generation. Last 12 months net operating cash flow after adjusting for factoring variations amounted to EUR 1.8 billion, up EUR 265 million and supported by the strong momentum of Turner. Over the past 4 years, last 12 months net operational cash flow pre-factoring has grown consistently at a CAGR of 45.8%, driven by EBITDA growth, sustained cash conversion and [indiscernible] diversification into cash-generative businesses. On a half year basis, cash flow reflects the typical first quarter seasonality. The group's cash generation remains solid, and we anticipate a seasonal rebound as usual along the second half of the year, driven by strong operational performance. Our net debt position as of June 2025 stood at EUR 2.2 billion, showing an increase of approximately EUR 600 million since June 2024. This variation is primarily the result of strategic capital allocation initiatives and foreign exchange effects. It benefits from the group's strong net operating cash flow, slightly impacted by the lower use of factoring. The current position reflects the following key uses of capital in the last 12 months, EUR 1.2 billion in net equity investments and M&A, including the acquisition of Dornan, and additional stake in HOCHTIEF and targeted investments primarily in data centers, EUR 652 million in shareholder remuneration, EUR 317 million related to FX movements and other effects. Our disciplined approach to capital deployment supports our long-term growth strategy while maintaining solid financial position. Moving on to Slide 7. Our order backlog stands at EUR 89.3 billion as of June '25, representing a year-on-year increase of around 12% FX adjusted. This growth was underpinned by a very strong order intake of EUR 31.7 billion, up 15.3% or 18.1% FX adjusted, resulting in a healthy first half book-to-bill ratio of 1.2x. This very positive performance reflects the group's continued success in securing high-quality projects across strategic growth markets, particularly in data centers, defense and biopharma. Notably, digital infrastructure now accounts for 14% of our total backlog, driven by the exceptional momentum in data centers, which have grown at a CAGR of 98% over the past 2 years. We're also seeing a strong traction in Germany, where our positioning allow us to benefit from the country's increased focus on infrastructure investments. New awards in Germany grew by approximately 40% year-on-year in the first half, reinforcing our ability to capture opportunities in this key market. In the following slide, we can see a selection of recent awards. Some key projects to highlight would be in digital and advanced technology, as you know, we will be building a large data center for Meta in Louisiana as part of the largest campus to date from the company that will have a total value of $10 billion. We also will be building a high-density liquid cooling-ready data center in Malaysia. And very recently, we announced that we will lead the construction of a state-of-the-art data center in Pennsylvania for CoreWeave. The artificial intelligence hyperscaler as part of a $6 billion investment to support cutting-edge AI workloads. In the energy sector, we have been appointed for Darwin LNG Life Extension, ensuring continued gas processing and marine loading service in Northern Territory, Australia. In Germany, we secured the planning contract for 4 advanced onshore converter stations, part of a high-voltage line that will carry wind power from the north to the Ruhr region. In biopharma health and social infrastructure, we were awarded a new Dunedin Hospital in New Zealand, our largest hospital project to date. We also won 2 major building contracts in Germany, a research center for the University of Duisburg-Essen and the conversion of a historic boiler house in Krefeld into a modern event venue. And as recent as today, we announced that Turner joint venture has been awarded a $700 million modernization project for Memphis International Airport. In transport infrastructure and sustainable mobility, we were awarded a Long Bridge North Rail project in Washington, D.C. In Germany, we secured 2 major rail infrastructure contracts, one for refurbishing a 42-kilometer, double-track section for Deutsche Bahn and now for building the second main line of Munich's S-Bahn network, connecting Ostbahnhof and Marienhof stations. In critical metals and natural resources, Sedgman is leading the design and construction of the Queensland Resources common user facility in Townsville, a government-backed initiative to accelerate vanadium and other critical minerals processing. We also received the award of a 5-year extension at the Karlawinda Gold Mine in Western Australia. In defense, in addition to the large Pearl Harbour dry dock replacement project in Hawaii, we're working on, it is worth mentioning that we're leading the Stage 2 upgrade of maintenance, logistics and air field infrastructure at the RAAF Base Townsville in Queensland, Australia. Let us now have a look at the performance by segments. On Slide 10, we begin with Turner, which is delivering exceptional results, consolidating its leadership in strategic sectors. Sales grew by 41.2%, reaching EUR 12.2 billion, driven primarily by strong organic growth in digital infrastructure and biopharma projects. This solid performance was further supported by the contribution from Dornan, performing even better than anticipated. Profit before tax amounted to EUR 392 million, representing an outstanding increase of almost 60%. This was accompanied by continued margin expansion of 36 basis points to 3.2%, reflecting Dornan's successful strategy focus on advanced technology projects. Net operating cash flow increased close to EUR 400 million. Net cash as of June 2025 was EUR 2.7 billion, up almost EUR 300 million even after the acquisition of Dornan. Turner's commercial strength is demonstrated by its new orders of EUR 16 billion in the first half of the year, an increase of 22.7% year-on-year or 25.1% FX adjusted, driving order backlog to EUR 33.1 billion. Moving on to operations in the Asia Pacific region, we turn to CIMIC. Sales registered strong growth in strategic areas such as advanced technology, health care and defense and were 26.3% higher, supported by the full consolidation of this with a stable underlying performance overall. EBITDA margins remained stable, underpinned by strong contribution from high-tech jobs across both UGL and Leighton Asia. Ordinary profit before tax increased by 20.3% year-on-year to EUR 232 million after adjusting the first half of 2024 for the one-off noncash gain net of provisions. On a comparable basis, adjusting for this consolidation, ordinary PBT grew by 4%. Attributable net profit grew by 7.2% FX adjusted year-on-year. Comparable net operating cash flow before factoring remains stable, while the reported figure was impacted by the global consolidation of Thiess and lower factoring levels. Our order backlog was solid, reaching EUR 23.2 billion, up 5% FX adjusted, driven by solid growth across all segments, particularly in data centers and defense. Turning now to Engineering & Construction segment on Slide 12. We can see solid growth with consolidated sales increasing 11.5% year-on-year to over EUR 5.2 billion, driven by the strong performance in North America and the robust contributions from both Dragados and HOCHTIEF Engineering & Construction. EBITDA margin increased by 53 basis points to 5.7%, supported by a significant contribution from FlatironDragados. Ordinary profit before tax grew significantly by 45.6% to EUR 136 million, supported by a positive financial performance. Net operating cash flow level was impacted by the lower use of factoring and a high comparison base due to strong collections recorded in the first half of 2024. The Engineering & Construction backlog rose 8.2% FX adjusted to EUR 30 billion, reflecting a strong order intake of EUR 7.9 billion with notable momentum in sustainable mobility and transportation infrastructure. Importantly, our book-to-bill ratio remains strong at about 1.2x. Looking forward, the outlook remains very positive, and I would highlight that we're particularly well positioned to benefit from the infrastructure investment plan in Germany. Continuing now with the Infrastructure segment on Slide 13. Abertis has had a strong operating performance. The contribution to NPAT was impacted by the changes in the tax regulation of concessions in France and FX movements. Abertis distributed a dividend of approximately EUR 600 million in the Q2 2025. Iridium meanwhile, increased its sales by 26.9%, thanks to additional contribution of the A13 and a general positive performance across operating entities. On the next slide, we take a more detailed look at the Abertis numbers. Traffic has grown by 2.6%, supported by a strong performance of heavy vehicle traffic. We saw strong results, particularly in Spain, France, Brazil and Chile. On a like-for-like basis, the company delivered strong revenues and EBITDA growth at 6%, underpinned by the geographical diversification of the portfolio and inflation-linked tariffs. Regarding Abertis' portfolio development, as you know, Abertis acquired a 51.2% stake in the A63 toll road in France, which is now fully consolidated since 1st of June, with full impact in balance sheet at 1 month in P&L. In Chile, the Santiago - Los Vilos concession has begun its operational management and full consolidation from the 1st of April, further strengthening our presence in Latin America. Abertis has improved its liquidity and financial strength with our net debt set at EUR 23.4 billion and ample group liquidity of EUR 6.9 billion. On Slide 15, we show the breakdown of key figures by country for Abertis's portfolio. To conclude our review of the first half results, let me highlight the key achievements of the group. We have delivered a strong operational performance with sales reaching EUR 24.1 billion, up 28.6% year-on-year and ordinary net profit of EUR 392 million, up 17% or 19.4% FX adjusted, aligned with the upper end of our guidance. Our cash generation remains robust with last 12 months net operating cash flow adjusting for factoring variations was EUR 1.8 billion, growing at a CAGR of 45.8% over the past 4 years. Our order backlog stands at EUR 89.3 billion, up circa 12% FX adjusted, supported by EUR 31.7 billion in new orders. Looking ahead, we remain focused on our strategic growth markets and disciplined capital allocation. We see significant greenfield investment opportunities, particularly in advanced technology infrastructure and Managed Lanes and continue to pursue bolt- on acquisitions to strengthen our engineering capabilities. Through Abertis, we're also advancing brownfield investments in core infrastructure assets. Our strategy is to build a diversified business model and a global footprint, which enable us to respond effectively to evolving market dynamics. With solid fundamentals, strong momentum across key markets and a clear focus on long- term value creation, we're well positioned to navigate the current macroeconomic environment and continue delivering sustainable growth and attractive shareholder returns. Thank you once again for joining us today. I now look forward to your questions.
Operator: [Operator Instructions] The first question comes from Luis Prieto from Kepler Cheuvreux.
Luis Prieto: I had 2 detailed questions. Apologies for that. The first one is, when I look at the headquarter costs at the EBIT -- the headquarter EBITDA and therefore inclusive of headquarter costs, I see a EUR 41 million positive impact in the first half of last year, whereas I see a minus EUR 20 million at present. So I'd like to know if you can provide a bit more detail on why that big swing is there? And the second question is you highlight in the results report a EUR 14 million worth of HOCHTIEF share purchases, I assume in H1. And what I would like to know is if I should assume -- where has that taken place? Is it Q1, Q2? And should I assume that there will be no more share purchases at these share price levels for HOCHTIEF going forward?
Juan Santamaria Cases: Thank you so much, Luis. Starting with the headquarter cost EBITDA. So the EUR 41 million effect that you see is the unwinding of the revaluation of a data center land plot in Australia, which we had to unwind at ACS level, and that was included in the headquarter cost. On the EUR 14 million that you saw that was back in April 2025. Whether we are going to continue or not, it will be opportunistic. I mean I cannot really say anything at this stage. But we are not -- we don't have any plans at this stage to increase or not to increase.
Operator: We now move on to the next question coming from Dario Maglione from BNP Paribas.
Dario Maglione: Two questions from me. One, you mentioned in H1, you have spent EUR 350 million in data center projects. Can you maybe elaborate on what this is, maybe new land or developing the existing land? And then the second question is around the U.S. So here, if we exclude data centers, just looking at the market, the nonresidential construction market seems to be flat to small down year-on-year in Q2, yet Turner is still growing significantly, even when we exclude the data centers, both in terms of revenue and order intake. So my question is, how is this possible? And is this outperformance sustainable in the next quarters?
Juan Santamaria Cases: Thank you, Dario. Starting with EUR 350 million in data center spend. So far, we have probably spent, between '24 and '25, EUR 500 million in data centers. It's a mix between new land development, energy, fiber, permitting. So there's a mix. But all of this is part of the 2.1 gigawatt development that we are working on. And eventually, we'll give more details about the status of the 2.1 gigawatt. The additional pipeline that we have always spoken about [ 6 ] gigawatts. And right now, we're looking at 11 gigawatts. So that's growing significantly and how we are managing all of that in terms of investments and future business case. When it comes to the U.S., so -- yes, data centers has grown significantly. So I mean, we -- that's a fact in plenty of projects. However, we're seeing positive momentum in most of the areas. So if you look, for example, starting in the outlook for Turner in the U.S., we see Sports Education with an expected growth of 37% from '25 to 2029. We see data centers continue this pace of growth within the following years. Batteries, for example, have been impacted in the short term in the last 2, 3 years because of changes in technology, questions on demand of EV vehicles. So we saw a lot of unwinding in that sense. However, that's going to catch up and ramp up again. But it's not certainly that has affected Turner's revenues within the last 2, 3 years, but we expect that to come back. Semiconductors, I mean, that's a very positive trend. We believe that there will be around EUR 260 billion investment through 2030. We are in several tender processes around semiconductors globally. And we expect and we hope that, that market will start ramping up very soon and with positive news for us. Healthcare, we're expecting that to grow 32%, and that's basically based on population growth and industrial manufacturing, both in the U.S. and everywhere else, that's going to continue growing. And that's in terms of the future. When you look at the current impact in Turner's backlog, we see huge growth in data centers, huge growth in biopharma and biopharma from previous year, I mean, year- on-year has grown 64.5%. We see significant growth back in commercial and social infrastructure, sports, et cetera. So we see growth in that area as well. And where we see somehow steady potentially even a slowdown in the backlog was semiconductors and batteries, which, in our opinion, and always after data centers, which will continue to be the big trend, semiconductors and batteries will be the 2 new horses in the race of growth.
Operator: We now move on to a new question coming from Filipe Leite from CaixaBank.
Filipe Martins Leite: I have 2 questions. The first one is actually a follow-up on the holding cost question because dividing it between first and second quarter of this year, second quarter, the contribution of holding was minus EUR 22 million when in first quarter, it was a EUR 2 million positive. Can you elaborate on this big swing? And also if we can see or assume this minus EUR 22 million on a quarterly basis for the upcoming quarters? And second question is related with tax. And if you can also elaborate on the reasons for such low tax or tax rate this quarter? And perhaps related with that, also, if you can explain the footnote where you announced a one-off result in that quarter related with the recognition of tax position. So if you can explain this also.
Juan Santamaria Cases: Okay. So let's start with the one-off, right? So -- and this is on the holding cost. So there's -- I mean, as we said in the report, basically, there's an elimination of the fair value change gain of the investment property, and this is a data center in Melbourne, Australia under CIMIC. So at CIMIC, I mean, it's land that we were developing in data center, and we accounted for it using the fair value methodology and the revaluation reflects the substantial progress in the development phase. While at HOCHTIEF, it's a cost model applied, right, to investment properties of this type. So as such, at the CIMIC level, is -- I mean, at HOCHTIEF level, we eliminate in the first half 2025 results. So that's basically the thing, and this will apply in the second quarter of 2025. Now the second one was about the tax gain of the one-off and the credit [Technical Difficulty] and this was basically -- this is -- I mean, revaluations of the tax credit position at holding level [Technical Difficulty]
Operator: Unfortunately, we're having some technical issues. Please hold the line.
Juan Santamaria Cases: Sorry, can you hear us back?
Operator: Yes, we can. Please go ahead.
Juan Santamaria Cases: Okay. So sorry, not sure -- let me go again through the second one because I'm not sure where we -- I left it. But basically, from PBT to NPAT is just a revaluation of the tax position and some resolutions from the [ DAC ] that we got. So there's nothing abnormal or extraordinary.
Operator: All right. We move on then to the next question coming from Marcin Wojtal from Bank of America.
Marcin Karol Wojtal: So couple of questions here. Do you have any update for us on your plan to introduce a financial partner into your data center business? And also, are you still planning to host a presentation explaining your strategy in data centers in the second half of the year? That would be my first question. And my second question is actually on your order backlog recognition policy. Could you just remind us how do you treat these very large contracts that you have been receiving from data centers? For example, EUR 10 billion at the end of last year for Meta in Louisiana. Is all of that -- or the share of Turner, is all of that already in the backlog or you are recognizing that progressively over several years?
Juan Santamaria Cases: Okay. So Marcin, starting with the first one. So we are well advanced on the platform, and it's going in the right direction. I would prefer to give all the details around the data center platform for the future and the business plan for the Capital Markets Day that we're planning in October, and we will announce the date very, very soon. Regarding the order backlog, for Louisiana, the latest project, we haven't -- so let me start with the policy in general. As we have been moving into some of these projects that require a lot of engineering, the reality is they're long-term projects. So we do have a lot of the announcements that we've been doing, such as the ones you're asking for out of our backlog because right now, we have very, very, very minimal engineering cost in our backlog, which is only the first part. So that's not in our backlog. And the same happens with a lot of our projects. So our backlog is not reflecting the number of projects awarded or even the number of projects that we're working on in which we are preferred bidder because they are very long term in the making with a lot of engineering cost associated to those projects. And that's why we have a significant amount of backlog, real backlog not reflected in the presentation yet.
Marcin Karol Wojtal: And could you maybe quantify what that amount is?
Juan Santamaria Cases: Yes, of course. So in the case of Turner -- give me just one second. Let me take the paper. So in the case of Pennsylvania, we have nothing in our backlog yet. In the case of Louisiana, we have so far out of EUR 3.3 billion, EUR 800 million.
Operator: Next question, Graham Hunt from Jefferies.
Graham Hunt: I've got 3, if that's okay. I just wondered, Juan, if you could speak to your thoughts and I appreciate you have a partner in this business. But in terms of where you see the midterm for the Abertis business and where it develops to from here, is it just a case of bolstering the portfolio, extending duration and maybe the odd capital injection from the parent? Or is there some more to the story that might become evident in the next few years that will bring it closer to the market? Second question, just on some of your assets that you have held for sale. Just wanted an update there, Clece as well. Just a quick update on where you stand on those assets would be helpful. And then maybe just a last question. We've seen some positive signals from the U.S. administration around AI acceleration development, particularly related to the construction sector in recent weeks. Just if you had any thoughts on that and how it supports the business in the U.S.?
Juan Santamaria Cases: Thank you, Graham. So starting with Abertis. So in Abertis, as you rightly say, there is more to the story that will evolve during the next months here. We are -- yes, I mean, we will continue working on our base case, which is optimizing CapEx, OpEx and continue -- there's a few renegotiations in progress to extend the life of current assets, number one. And number two, we have identified opportunities that like the A63 could come to Abertis in the near future, and we're working on that. And let me reemphasize that -- I mean, first, I mean, Abertis continues to be our highest priority. I mean, from 2018 to 2024, we got an EBITDA increase by EUR 1.8 billion, right, which there's EUR 1 billion organic growth. But we have also strengthened the backlog to net debt ratio from 5.5x in '23 to 6.1x in 2024. And the net debt-EBITDA ratio has deleveraged from 6.6x to 5.4x, right? So from '24 to 2033, we're planning to continue the EBITDA replacement. So in the Capital Markets Day, we announced EBITDA for 2024 of EUR 4.3 billion and EUR 4 billion for 2033. And right now, after the latest acquisitions and renegotiations, our EBITDA for 2024 has grown from EUR 4.3 billion to EUR 4.4 billion, and our prospects for 2033 from the Capital Markets Day have grown from EUR 4 billion to EUR 4.75 billion, right? So this is without what I just explained that we are planning to do additional -- bring additional opportunities to Abertis. But our objective continues being to have perpetual long-term assets, extending significantly the life of the assets in Abertis and making sure that the EUR 600 million dividend that Abertis is delivering at a 100% level, that continues growing significantly. Now in terms of the asset for sales that you are talking about, so what we said in the Capital Markets Day is 2 things in terms of the sources and uses of funds. One is the net operational cash flow that we're generating EUR 700 million, EUR 750 million, and this is going in line. And then there was the -- I mean, the monetization of up to EUR 3 billion. Of the EUR 3 billion, we already secured EUR 1 billion last year, and that was EUR 288 million derivatives. And we believe that we can get another EUR 2 billion, including what you just said, for example, the industrial assets that we have for sales. So that's part of it and other noncore assets that we have in the business. So that continues being part of the plan. And the third question that has to do with the U.S. administration. So in the U.S., we -- there's -- I'm putting aside all what we're seeing in digital in the current data center plans, we see additional funding and additional initiatives, both in the U.S. and in Europe about AI. And that has to do in the case of Europe with the factories, in the case of the U.S., additional injections for AI training and AI development. So the demand is astronomical. And we're working on that first through the Engineering & Construction and second, with the 2 development platforms that we will announce in October, one kept for the big ones, the other one for AI processing, right? So we will give a lot of details around that. But certainly, in the U.S., there's a huge plan for AI investments. And I mean -- and we are very well positioned to capture it. On top of that, in the U.S., between the One Big Beautiful bill announced with the significant tax cuts in the country between all the investment that they want to continue doing in the civil space with all the investment -- additional investment in defense, in critical metals, et cetera, we believe that there's going to be a lot of growth besides AI.
Operator: And now we move on to Nicolas Mora from Morgan Stanley.
Nicolas J. Mora: Just a couple of questions. First one on the performance of Dragados or FlatironDragados, especially in the U.S. What did you see in the first half? Do you continue to -- I mean, the order intake has been a little bit volatile Q1, Q2. But overall, how do you assess the -- basically the health of the pipeline of the tender process? That would be the first question. Second question, just coming back on net debt and the free cash flow and net working capital. There was a little bit of a drawdown in the second quarter in your core business ex factoring. Would you say the payment cycle is maybe a little bit less positive, at least in terms of payment from customers and so on in Q2, especially in the U.S. or this is just basically the normal seasonality?
Juan Santamaria Cases: First, on FlatironDragados. Whether we refer to the business or to cash flow, it's pure seasonality because the growth is there. There's a lot of collaborative contracts that we're working on, and they have a very -- I mean they are very slow in the making. So hopefully, I mean, it depends by when we secure some of those projects that we -- a lot of them were announced, but they are not even in our backlog because they are very slow in the making. It's all negotiations going to design, negotiating contracts, et cetera. So that's why it's very seasonal. And all of a sudden, they can come at once. And sometimes on a certain quarter, we're not seeing some of those, right? So it's not like the traditional design build where every quarter, we tender so many and we have a success ratio and then we continue winning, right? Having said that -- and that's on the backlog perspective. From a business perspective, we believe that the business is going very well. I mean there's 19% increase on EBITDA in the Dragados quarterly performance versus last year in comparable terms. And the EBITDA margin improvement was up 66 basis points, up to 5.6%. So I mean, just the impact that excludes one-off restructuring cost in the first half increased by 6%, up to EUR 35 million. When it comes to operating cash, the net operating cash flow in comparable terms increased by EUR 83 million in the Q2 '25, right? And this is year-on-year. So it's not bad. Having said that, we expect the second half with a much better performance than this first half.
Operator: Apparently, there are no further questions. Therefore, I give back the floor to the management of ACS. Please go ahead.
Juan Santamaria Cases: Just to say thank you, everyone, for your attendance today and for following the presentation. Please, as always, if you have any further questions, feel free to contact us any time. Thank you.